Operator: Ladies and gentlemen, good day and welcome to the Infosys Earnings Conference Call. As a reminder, all participant lines will be in the listen-only mode. And there will be an opportunity for you to ask questions after the presentation concludes. [Operator Instructions] Please note that this conference is being recorded. I now hand the conference over to Mr. Sandeep Mahindroo. Thank you, and over to you, sir.
Sandeep Mahindroo: Thanks, Margaret. Hello everyone and welcome to Infosys earnings call to discuss Q2 FY21 financial results. I’m Sandeep from the Investor Relations team in Bangalore. Joining us today on this call is CEO and MD, Mr. Salil Parekh; COO, Mr. Pravin Rao; CFO, Mr. Nilanjan Roy along with other members of the senior management team. We’ll initiate the call with some remarks on the performance of the company by Salil, Pravin and Nilanjan on the most recently concluded quarter, before opening up the call for questions. Please note that anything which we say which refers to our outlook for the future is a forward-looking statement, which must be read in conjunction with the risks that the company faces. A complete statement and explanation of these risks is available in our filings with the SEC, which can be found on www.sec.gov. I would now like to pass it on to Salil.
Salil Parekh: Thanks Sandeep. Good evening and good morning to everyone on the call. I trust each of you are safe and healthy. We've had an exceptional quarter in the second quarter across multiple dimensions, client impact, revenues, digital scaling, large deal wins, continued account expansion, operating margin expansion, strong cash flows, and reduction in employee attrition. I'm grateful to our clients for their continued trust in us and I'm proud of our team for the incredible commitment to our clients. Let me share with you some of the highlights for Q2. Revenues in constant currency grew at 2.2% year-on-year, and 4% sequentially on the back of a very strong Q1. Our growth for H1 over H1 was 1.9% in constant currency terms. Digital revenues grew at 25.4% year-on-year in constant currency, and now accounts for 47.3% of our revenues. We delivered operating margin of 25.4%, which is an expansion of 370 basis points year-on-year and 270 basis points sequentially. This was achieved after rewarding our employees with variable pay at 100%, and awarding a one-time special bonus. Large deal wins, which have been [our work] above US$50 million in TCP for contracts were at $3.15 billion. Large deal pipeline remains strong as clients look at accelerating digital transformation programs and continuing their focus on automation and cost efficiency. Our voluntary attrition in IT services is at 7.8%. Our operating cash flow was at 793 million, a 52% increase year-on-year. Our balance sheet remains strong with cash and investments position at $4.6 billion with no debt. Our industry leading performance over the first half of this year has been due to the immense commitment of over 240,000 employees. Recognizing the continuing stellar contribution from our employees during these times, we are paying out a variable pay for the quarter at 100%. We will pay a one-time special incentive in Q3 for our junior level employees. The salary increase process will restart now and will be effective as of January 1, 2021. We restarted promotions in the last quarter at our junior levels. This will now be expanded across all levels. I'm thankful to each one of our employees for staying deeply committed to serving our clients as they themselves navigated their own personal challenges associated with the ongoing COVID situation and the remote operating model. We launched Infosys Cobalt where we brought together all our cloud services, platforms, and solutions to support our clients in accelerating the cloud journey and reducing the risk to the cloud programs. Cobalt has 200 industry templates and 14,000 cloud components available to our clients for their cloud first programs. Cobalt is built with strong partnerships with leading SaaS, PaaS, Infra-as-a-service companies across public, private, and hybrid cloud environments. In Q2, we took another large step in our local hiring plans in the U.S. In the past three years, we've launched six digital centers in the U.S. and hired over 13,000 U.S. workers. We now announced plans to hire an additional 12,000 U.S. workers over the next two years, bringing a hiring commitment in the U.S. to 25,000 over five years. We believe a localization approach is a significant market differentiator and will help us better navigate regulatory changes. The sustained localization investments will ensure that we are able to continue servicing our clients across markets with a combination of local and global talent. The past three months also saw us announced three acquisitions GuideVision focused on ServiceNow; Blue Acorn focused on Adobe; and Kaleidoscope focused on medical product design. Our service delivery continues to be exceptional.  The feedback from clients remains positive and the dedication of employees is tremendous. Today 99% of our workforce continues to work from home. Our results in Q2 are a combination of a continued focus on the needs of our client’s steady execution and a clear strategy to build a digital and cloud aligned company. Looking ahead, we continue to see strong traction in our business. We increased our revenue guidance for the full year, from 0% to 2%, moving it to 2% to 3% growth in constant currency year-over-year. We increased our operating margin guidance for the full year from 21% to 23% moving it to 23% to 24% for the full year. Thank you. And now let me request Pravin to update you on our operations. Over to you Pravin.
Pravin Rao: Thank you, Salil. Hello, everyone. Hope you are all well and safe. As we continue to wait through the continuing complexities caused by the pandemic, our rock solid focus on plant relevance and employee well-being is helping us navigate this talent successfully. With most of our delivery centers across the globe remaining closed the vast majority of our employees are working effectively from home, and we are making all efforts to ensure ease of [work delivery] in a secure manner. Growth accelerated during the quarter as economies across the world started opening up gradually, and clients focused on technology to help overcome the impediments. Revenues increased by 4% sequentially on constant currency on top of the robust performance in quarter 1. Year-on-year growth continued to remain positive and increased further to 2.2% in constant currency. Quarter 2 revenues included only a marginal contribution from the Vanguard deal, which should start ramping up from quarter three onwards. Several operating parameters improved during the quarter: utilization, onshore delivery share, RPP, and subcon cost. Utilization in quarter 2 improved by 240 bips to 83.6%, mainly on account of improvement in offshore utilization. Onsite offshore efforts mix improved by 190 bips to 26.1%, the lowest ever. RPP also improved both on year-on-year and sequential basis. Client metrics remained strong. We added 96 clients during the quarter, while the number of hundred million clients increased by five sequentially [to 330] at the end of quarter 2. Large deal wins in quarter 2 was the highest ever at 3.15 billion. We won 16 large deals in quarter 2, out of which six deals were in financial services, three deals in retail, two deals each in communication and high tech, and one deal each in energy utility resource services, manufacturing and others. Region wise 11 were from America, four were from Europe, and one from rest of the world. Share of new deals was 86%. Voluntary attrition for IT services declined to 7.8% and significantly lower than our comfort band of 14% to 15%. Recognizing the stellar efforts of our employees, which has been the key reason for our strong performance in last six months, we have decided to affect salary increase across all levels, effective January 1, 2021. We are paying 100% variable pay per quarter 2 along with a special incentive, which will be paid to employees in lower levels.  Recently, the U.S. Department of Labor and Homeland Security issued two separate rules, restricting the [H-1B visa program] on both scrutinizing qualifications and mandating significantly higher wages. However, our dedicated focus over the past three years on the local American workforce, and our technology and innovation hubs across the U.S. gives us the ability to navigate across this new regulatory terrain. Moving to business segments, financial services saw continued improvement in performance, both on year-on-year and sequential basis. The uptick in business has been in areas that banks are investing in significantly post-COVID such as mortgage servicing, call center technology and operations, lending services to cater to various government relief programs, as well as pickup of large digital transformation programs. They have signed six large deals in this segment in the last quarter, including the Vanguard day. This should propel revenue growth for financial services in the coming quarters. Finacle award winning banking platform has received multiple industry recognitions during the quarter, and they are seeing lot of tractions as banks across the world embark on the digital transformation. They’ve also started seeing some momentum back in retail with increased volumes in quarter 2 and ramp up of earlier deal wins. We however remain cautious on this segment, given continuing demand and liquidity issues, and possibly increased furloughs in the coming months. Performance in communication segment remained weak given pressure on spending, especially in media, entertainment, advertising, and OEM segments. We continue to have a strong pipeline of deals in this segment and have won two large deals in the last quarter, which should help in stabilizing performance for this segment. Energy, utility, resources, and services vertical is also under pressure due to constraint spending in the oil and gas, travel and hospitality, and resources sector. However, the current volatility is presenting significant opportunity for cost takeout and we continue to build a strong pipeline. Manufacturing segments were stable during the quarter, which is a massive improvement from the sequential decline in quarter 1. While there are disruptions [indiscernible] segments, we are seeing opening up of pockets, although the pace of recovery may remain sluggish. Cost takeout is a major focus for our clients across sectors. We expect gradual improvement in the segments with recovery in volumes and robust new account openings. The deal pipeline remains at a healthy level and makes us hopeful of the future prospects. Our digital portfolio is growing strong at over 25% year-on-year in constant currency and now constitutes 47.3% of overall revenues. In the last quarter, we have been rated as leader in 11 services related capabilities across digital pentagon areas by industry analysts. Lastly, my heartfelt condolences to the families of five of our colleagues whom we have lost due to the pandemic. We stand together and are extending all possible support to their families during these trying times. With that, I will hand over to Nilanjan.
Nilanjan Roy: Thanks Pravin. Hi everyone. Hope all of you are well and safe with your families and loved ones. On the back of a strong quarter 1, quarter 2 continues to show up improving performance with our unwavering focus on client relevance, operational excellence, cost and liquidity management. Revenues for the quarter grew 4% sequentially in constant currencies. This translates to a 2.2% growth year-on-year and 1.9% for H1 year-on-year in constant currency. Operating margins expanded by 270 basis points sequentially to 25.4%. The sequential improvement in margins was led by 100 basis points improvement due to increase in RPP, 80 bips due to a 2.4% increase in utilization and 80 bips due to a 1.9% improvement in onsite offshore mix, partly due to the temporary travel restrictions. Benefits from reduction in SG&A and other expenses were offset by increase in depreciation and amortization and cross currency headwinds. Improved Q2 margin performance has consequently led to H1 operating margins at 24.1% higher than the [21% to 23%] band and 3% higher compared to 21.1% reported for the comparative prior period. As some of the margin improvement has risen from the cost difference etcetera we expect some of these benefits to shrink in quarter 2, as we rule out promotions and salary hikes for employees, commence hiring across the organization with higher travel and overhead costs. All this will consequently impact H2 margins. Q2 EPS grew by 14.9% in dollar terms, and by 20.8% in INR on a year-on-year basis. H1 EPS grew by 9.5% in dollar terms, and 17.1% in INR on a year-on-year basis. Collections remained robust with DSO reducing by 2 days to 69. The increase in CapEx spend during the quarter was mainly towards the technological enablement of our employees. FCF for quarter 2 was a healthy $674 million, which is a growth of 70% year-on-year and 59% in H1 growth of year-on-year. Free cash flow as a percentage of net profit was 103% for Q2, and 116% for H1. Return on equity increased to 26.7%, compared to 25.1% in the prior year. We continue to maintain a very strong debt free and liquid balance sheet, cash and investments at the end of quarter 2 were $4.55 billion. The yield on cash balance improved to 6.33% in Q2, compared to 6.11% in the previous quarter. Quarter 2 marked the 21th consecutive quarter of positive ForEx income, despite significant currency volatility across the globe. Consistent with the improved cash flow and our capital allocation policy, the board has declared an interim dividend of Rupees 12, which is a 50% growth over the interim dividend per share of FY 2020. Based on the strong performance in H1, we are increasing our guidance on revenue by FY 2021 to 2% to 3% in constant currency terms from the previously announced [0% to 2%]. We are also increasing the margin guidance for this year from 21% to 23% to 23% to 24%. With that, we can open up the call for questions.
Operator: Thank you very much. [Operator Instructions] The first question is from the line of Yogesh Aggarwal from HSBC. Please go ahead.
Yogesh Aggarwal: Yeah. Hi, thanks for taking my question. Just two clarifications if I may? Firstly, while you know, you have upgraded guidance, the second half implied guidance doesn't look that strong largely in-line with the seasonality despite such strong deal wins and there is a little bit contribution hopefully from the acquisitions as well. So, are you expecting some decline in certain verticals going forward? And secondly, on the cost front, Nilanjan employee cost is down actually quarter-on-quarter. This is despite the bonus and special incentives. So, is that largely offshore mix?
Salil Parekh : Thanks Yogesh. This is Salil. Let me start with the first one. We see for all the Q3 and Q4 steadily improving quarter-on-quarter activity in different industries. For example, high-tech is looking strong, as Pravin mentioned, life Sciences is good, financial service is stable, retail also now starting to see some progress. However, there are furlough impact in Q3 normally. And traditionally, Q4 has always been the soft quarter for Infosys. So, we don't see anything negative in the outlook. And in fact, we've raised our guidance keeping very much in mind the strong demand that you see and the good conversion, large deals that we have in place.  For the second part, Nilanjan over to you.
Nilanjan Roy: Yeah, Yogesh, so if you see from a net headcount, we only added about thousand people. So this was less than 0.5%. So there was not much of headcount change, but absolutely you’re right, the onsite offshore mix has helped the overall employee cost to come down, but like I said, this is temporary due to the travel restrictions imposed.
Yogesh Aggarwal: Got it. Got it. Many thanks, guys. Thank you.
Operator: Thank you. The next question is from the line of Nitin Padmanabhan from Investec. Please go ahead.
Nitin Padmanabhan: Yeah, Hi, thanks for taking my question, and congrats on a great quarter. Had two questions, actually. One is on the deals that we have won so far. Obviously, there's a lot that's already spoken about Vanguard, but excluding that, now, what is the nature of services that you're largely seeing within these deals? Are you seeing a lot more app modernization, cloud migration? And now the second is, how are clients funding these spends? You did mention that this time, we had a one-time offshore shift because of travel restrictions, do you see clients funding incremental spends through higher offshore shifts going forward? I think these are the two broad questions. Thank you.
Salil Parekh: Thanks. This is Salil. I'll start with the first one. The types of things we're seeing in our deal pipeline and what we've closed, essentially three areas. One is an area which is on everything related to digital transformation, for which a large part of it is cloud, and the area around cloud migration, but also cloud deployment, building cloud first applications, ruling out SaaS, working in public and hybrid cloud, private cloud environments.  The second relates to efficiency which is focused on automation, cost efficiency and how the [IT estate] can essentially be modernized in that sense, and made to be more efficient for our clients. And the third, we are seeing some in the pipeline, which is on consolidation – vendor consolidation, where it's benefits we'll see over the next few quarters in terms of conversions, but we have discussions in those areas where we see some traction. In terms of how the client is funding it, I think the main thesis as you alluded is, really taking cost out of existing estate through automation or the means and funding it – funding programs, which give growth differentiation, access and experience for our clients for their work going forward. Part of it will be the next in option because clearly these last few months has also demonstrated what could be done in an offshore environment, but we still see, despite all of that, that there will be both volume growth and revenue growth, which is within our pipeline.
Nitin Padmanabhan: Sure. So, I think on the offshore perspective, if I got it right, you were suggesting that so far the offshore shift is travel restriction based, but there could be future offshore shifts based on the experience that we have seen so far. Is that the right takeaway?
Salil Parekh: The onsite or offshore mix ratio is difficult to forecast in that sense. Once the travel restrictions become less, there will probably be more work onsite. Equally structurally, there is now more understanding of what are the possibilities on option. So those are both countervailing in the sense of how they will play out. And the timing also will not be clear which one will happen first and what speed, but both of those are relevant points as we look ahead [into the mix].
Nitin Padmanabhan: Sure. Thank you so much and all the best.
Operator: Thank you. The next question is from the line of Moshe Katri from Wedbush Securities. Please go ahead.
Moshe Katri: Hey, thank you very much, and congratulations for the team. Two questions here. One, given the fact that the M&A pace is accelerating is there a way to quantify the expected contributions from M&A to your guidance for fiscal year 2021 in terms of growth? And then just as a follow-up, did you just say that their renewal rates for bookings was, I think 14% for the quarter, which is actually very good in terms of incremental new businesses. Thank you.
Salil Parekh: On the second one, Pravin will comment on the net new renewal. On the first, there were three M&A transactions we did over the last three months. I don't know there will be an acceleration – we have a good pipeline of deals. We've not quantified in our business model, the percentage that will come in that [indiscernible]. We don't have a targeted percentage from M&A. What we do have is fairly clear view of which areas. It is something in Salesforce in Adobe; we did something in product design. We've done something in ServiceNow. And so those are specific areas where we see tremendous growth and a good organic business within the company. So that should be the way we play. In terms of this year specifically, we don't have a target that how much will come from M&A. Pravin, on the net new if you want something?
Pravin Rao: Yeah. Hi, Moshe. This is Pravin here. You’re absolutely right. The net new in the total liabilities is 86%. And obviously these numbers do vary quarter-on-quarter, depending on the nature of deal and there are times when a lot of renewals are due for – come due in a particular quarter. But it's obviously a very positive thing. Higher net new [indiscernible].
Moshe Katri: When you look at your bid and proposal pipeline for the next 6 to 12 months, would you say that the mix is different in terms of renewals versus new deals? Is there anything different in terms of the historical mixes?
Pravin Rao: I would say – I mean it's a combination, right? It finally, I mean, we have got a healthy mix of both renewals, as well as net new in the mix. It’s very difficult to predict the timelines when these deals will get closer. So that will probably have a bearing in terms of how – I mean the percentage of net new. Obviously the – probably, I mean if you look at historical thing there, may be the percentage of net new in this, you know, pipeline is probably on the higher side. But, I mean at this stage I can't really quantify how much higher it is, but it's definitely on the higher side.
Moshe Katri: Thanks, and congrats.
Salil Parekh : Thank you.
Operator: Thank you. The next question is from the line of Keith Bachman from Bank of Montreal. Please go ahead.
Keith Bachman: Hi, thank you very much. I had a couple of questions as well. First off, could you just clarify, when you talk about in the press release the TCP that was booked in a quarter 3.15 billion, what was the growth rate of that year-over-year is my first question. And the second question is related to – is there a limit that you see for offshore work? I know you said there was tension on some forces at work that would suggest more onshore work, but the cost advantage of offshore work you in the quarter were at 73.9? Is there a limit on how high you think that percent could go, is any natural barriers to that moving higher, which is a significant enhancement of margin? And I'll just throw a third question out there, is, could you tell us how many of your employees are currently using visas in the U.S.? And I'll [see the floor]. Thank you very much.
Salil Parekh: Thanks for that question. This is Salil. I’ll go with the second one. And then the other two, Pravin can jump in with the answers. In terms of the offshore there is a natural limit. I think there's certainly an ability for more of the work to be done offshore. There are different things that have opened up as we've all learned, both the clients and as to the costs the last six months.  So, I don't see that there's some sort of a [ceiling there]. I think what is also critical is, as we see more and more work that's going on, which relates to experience, and how design is working to some of our Digital Studios, we see some of that work, also expanding and that work has benefits from having some proximity. And it can also be done from an offshore perspective.  So specifically, we don't see in that sense of seeming to be offshore work, but it's a function of how that starts to get carved out in different discussions, and what the client approaches as that moves on. For the other two; Pravin if you want to go ahead please?
Pravin Rao : On the first question on year-on-year when compared to large deals, I’m just getting that number I'll come back to you before the call ends.
Nilanjan Roy : Pravin, can I just chip in quickly on that. So, we did last year 2.8, this year 3.1, but the big difference is, last year we only had 11% of net new in the figure. We are now 86%. So the quality of the order book has dramatically improved.
Keith Bachman: Wow. Okay.
Pravin Rao: And what was the third question?
Keith Bachman: Number of thesis that’s currently at use of your employee base in the U.S. either net new or renewals that are, you know, but just current number of employees out of your employee base that are subject to visas in the U.S.?
Pravin Rao : Yes. Go ahead Nilanjan.
Nilanjan Roy: Yeah, so as we mentioned, what we call visa dependent employees in the U.S. currently were about 37%.
Keith Bachman: Okay, great. Thank you very much, and congratulations.
Operator: Thank you. The next question is from the line of Sandip Agarwal from Edelweiss. Please go ahead.
Sandip Agarwal: Hi, thanks for the opportunity, and first of all, congrats on excellent execution and excellent numbers. I also wish all Infosyians good health and also very good gesture by management of rewarding employee’s in-line with world-class technology companies like Amazon. I have just two questions. One is, you know, the shrinkage and core has still been quite high in the current quarter also and all our strong growth and good work on digitalism still get hurt because of that. So when do you think this will probably stabilize or you think it will continue for long in the same way? Why I am asking this question is, you know, our small competitors like EPAM and others in other geographies, they are growing probably at the same percentage at a much lower base, but they have this advantage of core not being hurting them. That is question number one. And question number two, do you think pandemic has put cloud on a faster acceleration then even digital now and we will see those benefits going forward? And also, if you can finally answer on the attrition, what is your understanding on the attrition level going forward, whether you are okay with this 7.5% kind of ratio? Or you think it will shoot up to low-double digit? Thanks a lot.
Salil Parekh: Thanks Sandip. This is Salil. I’ll answer the second one on the digital and cloud and the first and the third, Pravin will come back. The way we are seeing, first overall digital growth continues to be robust at 25%. I think you're right, we see our clients are adopting cloud at a faster pace, in keeping with some of that and our own capabilities; we launched our own cloud set of assets under the name of Infosys Cobalt. We see a tremendous traction on the cloud side and we see it in quite good shape in many places and some of the acquisitions we are doing are also further strengthening already where we are good and where we can expand faster. So cloud is definitely something that's working well. We believe obviously, will work for the next several years. So, Pravin, over to you, please.
Pravin Rao: Yes. Beyond the core shrinkage, I mean, today, when we look at what's happening, plants are investing in technology to deal with the pandemics, building resiliency, fixing supply chain issues, and so on. And in fact, we have seen tremendous uptick in digital transformation of workplace, which started about couple of years back and the pandemic, has only accelerated it as every client is looking at how to become [indiscernible] in the post-COVID world. Obviously, the IT front is not increasing, so they're really funding this digital transformation initiatives by taking costs out from the core through automation and other means, so that's one aspect of it. And secondly, in general, I think, the IT spend is always a percentage of overall revenues, and more often than not, it remains the same steady percentage and people are able to fund some of the discretionary spend or digital spends by repurposing from taking away from core. So you will always see as your digital share increases, you will always see the core shrinking, because we are really talking about the same pie. But as long as your overall growth, you're also seeing overall growth, then it's positive for us. And even in fact, wherever we are seeing some of our core shrinking, we also have a flare because part of the core shrinking is also because we are proactively taking ideas to customer taking cost out and other thing. And many of the large deals – with almost every large deal win that we win, also is an element of modernization of legacy. So that means that part of the core gets modernized and now that gets content in the digital. So, the way to look at it is you have – I mean you have a IT spend and within the IT spend plants actually mix between core and – I mean they’ll invest some in core, but they will also look at how to optimize core so that they can fund some of the newer technologies and some of the discretionary spends that they need to stay competitive. So, as long as we continue to grow and we continue to have a role to play both in terms of core, as well as in the digital spend, then I think we view it as a very positive thing. Now on the attrition, obviously, the attrition that we have today is one of the lowest we have seen in the history of Infosys. I mean it's a combination of two things. One, obviously it's the combination of the market, but it's also how we have reacted to the pandemic, the focus that we have put in terms of employee welfare, a lot of engagements with the employees in the virtual world. We also focus – we also recognize that employees have been under stress, so there is lot of focus on both physical and mental wellness and so on. We have launched more than 200 interventions, a combination of – I mean involving families and we have also supported them a lot during the pandemic, particularly in cases where employees have test positive and so on. But it’s a combination, employees are really appreciative of how the company has gone beyond this one in terms of enabling them to work from home, as well as dealing with the current crises. But the reality is, once the market opens up, there will be some amount of attrition going up because they'll definitely be a war for talent. So our sense is over a period of time, it will probably go back to maybe, I mean, low-single digits, as we talked about, because all have been our comfort zone over the years.
Sandip Agarwal: Thanks a lot. Thanks again, and best of luck for next quarter.
Pravin Rao: Thank you.
Operator: Thank you. The next question is from the line of Bryan Bergin from Cowen and Company. Please go ahead.
Bryan Bergin: Hi, thank you. I wanted to ask first on margin sustainability. So, understanding you have some benefits that dissipate in the second half, but really, based on how you're delivering projects today, and how clients have become more accepting of virtual delivery, how should we think about the sustainability of some of the cost factors here as operations normalize? Are there any ability to give us a sense on how much of the mix of the margin expansion you've shown is lasting versus short-term?
Nilanjan Roy: Yes, so…
Salil Parekh: Nilanjan, you want to go ahead?
Nilanjan Roy: Yes, yes. I'll go with that. Yes. So like I mentioned in my speech that, you know, we have seen this benefit both of our three leavers, which we kick started at the beginning of the year. First was the cost deferrals, which we've talked about in terms of promotions, the wage hikes, the recruitment fees, which we had implemented at the beginning of the quarter, first quarter. And clearly, we see that coming back and it will start impacting the margins. It has helped us in the first half, but it will start impacting the margins. We've talked about that from first of January, we will roll-out wage hike across all levels. We've also mentioned that the promotions, which had been limited largely to the junior level employees, will now be across, so we will see a headwind from that. Second is also we had cut discretionary expenditure like travel, as you can see that in our results. Of course, travel has come down dramatically. Some of the more discretionary expenditure like brand building, et cetera, also were cut back. We will see some of that going up as well. Third is the strategic cost lever, which for us, is the most important – and this is an ongoing program, which we have around the offshore on-site mix. We have seen some benefits of that temporarily and as Salil had mentioned in earlier question, we will see some timing issues of that as travel returns. But strategically, we have seen that coming down over a period of time and I intend to mean to continue to see that on-site offshore mix changing. Second is a pyramid. I think we've done a lot of work around the broad basing the pyramid offshore and then now looking at that for the on-site as well, the hub strategy really helps us in calculating freshers from community colleges et cetera and the on-site pyramid as well. Automation remains at the heart. We continue to get more and more productive and efficient for our clients. Some of that is passed back to our clients as discounts and improved productivity and part of that is margin improvement, you know, strategically. So, these are the different strategic lever. So we – as we've talked about the three, you know, pronged approach, we will see some of this come back, but it's premature to say that, you know, how much of this is sustainable. Work from home is very, very premature as of now in terms of what does it do for facilities or travel, but we think that some of this will come back and, you know, if we move to our hybrid model, which remains to be seen, how much of that benefits we can keep and you know, we will have to invest more in technology and communication and security. So there may be some balancing there as well, so a bit premature to talk about that.
Bryan Bergin: And just to clarify, so that last bucket or that last prong around strategic levers, how much was the benefit year-over-year in margin from some of those actions – in the operational actions?
Nilanjan Roy: I don't think we've given this number out before, but I can tell you the year before that in the fiscal 2020, we gave – we had set out a target of 150 million of savings and we had overachieved against that number.
Bryan Bergin: Okay. And then two quick housekeeping ones I may have missed here. Did you say how much the Vanguard deal was within the 3.15 billion of signings? And how much is the inorganic included in your updated 2021 revenue growth outlook?
Nilanjan Roy: We haven't and we don't mention the deal sizes, that's number one. Number two is in terms of our inorganic, it's a very, very small portion. Many of them have just kicked off in terms of the signing implementation. So that impact is going to be very marginal for the rest of the year.
Bryan Bergin: Okay, understood. Thanks.
Operator: Thank you. The next question is from the line of Kawaljeet Saluja from Kotak. Please go ahead.
Kawaljeet Saluja: Hi, thank you for the opportunity and congratulations to the management team on a fantastic quarter. My question is also on profitability. Now, I understand that, you know, certain cost deferrals has led to an increase in the margin band this year, but at the end of day for Infosys, the margin band has kept on, you know, bouncing around quite a bit in the last three to four years. Now, many of our companies work with a certain aspirational margin band. So, you know, how should really one really think about, you know, the current year’s margin band increase? And, you know, should that if – I mean one assume as the more sustainable band going forward? Or, you know, any thoughts on this would be welcome?
Nilanjan Roy: Yes, Kawal. So I think, you know, we've been very focused over the last two years in the margin guidance band on 21% to 23% because the year prior to that when we rolled out the new strategy, this was about making the investments in the hubs, in the sales force side, and clearly, that – which had an impact on margin. So, we've been very, very conscious that we need to get the stability in margins and, you know, why the 21% to 23% margin guidance was given in the prior two years. And for us, that is – the most critical part is to continue to show stability rather than exactly what you mentioned, was much more volatile. Clearly, this is an exceptional year in more ways than one with so many moving parts and variable elements. Many of these, like I said, will not be sustainable. They are, you know, one timers in terms of deferrals, so things will come back to normal, but for us, you know, we are confident that our strategic leavers will continue to help us making sure that we continue to stay in a steady and stabilized margin environment as well, of course, aspirations always improve margins, but in no way can we take the 23 to 24 as, you know, something which you can model and go ahead from.
Kawaljeet Saluja: Sorry, did you say that [23% to 24%] is the sustainable margin band to model going forward? 
Nilanjan Roy: No, no. I said there is no way that you can take the 23% to 24% as a sustainable number going forward.
Kawaljeet Saluja: Okay, that absolutely helps. The second thing is I was surprised with the increase in RPP. I thought that we are living in a recessionary – I mean actually, we are in a recession, and you know, the inside backdrop, the increase in RPP is a remarkable achievement. You know, is that largely operations there? And do cost takeout a figure in client discussions, you know, quite a lot? And if yes, you know, I mean, should that – you know, when does the impact of that really come in into RPP, you know, going forward?
Nilanjan Roy: Yes, so in the RPP…
Salil Parekh: Go ahead, go ahead.
Nilanjan Roy: Yes, I’ll answer the first one. The second, if, Salil, you can take. 
Salil Parekh : Yes.
Nilanjan Roy : So this is the first one quickly on RPP, the 100 bips is a combination of multiple factors. I think one is, of course, is a day's impact during this quarter. We have seen some improvement in productivity as well to our automation, and so, I think the other two large ones is slightly more moderated discount environment. But like I said, discounts always are not secular, so you can always see these ups and downs as well. So the other three, you know, large, you know, carve outs within that 100 basis points. Salil, you can take the other one.
Salil Parekh: Thanks. Yes, hi, Kawal. The point on the cost discounts versus RPP with client discussions, I think as Nilanjan was sharing, the environment in Q2 especially has been quite stable with the discounts. What I mean is not anything unusual, it's been a smaller number anecdotal. And so, we're still quite comfortable at this stage and there's none of that large sort of thing coming in into the RPP, but as Nilanjan explained, there were some specific reasons. We’re also quite focused on RPP. We will make sure over time, we find a sustained method of doing it should we watch and see how that goes over the next few quarters.
Kawaljeet Saluja: Fantastic. Thanks, Nilanjan. Thanks, Salil. And all the best for the future.
Nilanjan Roy: Thanks, Kawal.
Operator: Thank you. The next question is from the line of Diviya Nagarajan from UBS. Please go ahead.
Diviya Nagarajan : Thanks for taking my question and congrats on a blowout quarter this quarter. I think most of my questions have been discussed. So let me focus on another topic here, which is your headcount. I think Nilanjan earlier pointed out that this quarter, we have seen fairly muted headcount addition. How do you see this in the next – in the rest of the year? That’s first part of my question. And secondly, I appreciate that you said that, you know, there are some strategic cost leavers and there are some that you cannot predict given the fluidity of the situation. I heard you quoted $50 million target that you were looking at for your strategic cost initiative savings. How has that trended so far? What is that target? Could you quantify that please?
Nilanjan Roy: On the first one, Pravin, you want to go ahead?
Pravin Rao: Yes, yes. This is Pravin here. On the headcount, obviously, the headcount increase in – will be in line with the growth. This quarter, we had 5,500 additions; about 3,000 were fresher’s both in India and abroad; and about 2,500 laterals. Our utilization, if you recall, was much lower in quarter one and it has improved significantly, but the number of hiring was on the lower side this quarter. So hiring in subsequent quarter three, quarter four will obviously be dependent on the growth. In terms of freshers in India, this year, we expect to add about – onboard about 16,500 people. And next year, we are planning to add another [15,000] people. This is mainly freshers in India.
Diviya Nagarajan: Got it, got it.
Nilanjan Roy: Diviya, on your question on your cost…
Diviya Nagarajan: And on the digital… 
Nilanjan Roy: Sorry.
Diviya Nagarajan : Sorry, go ahead.
Nilanjan Roy : Quickly I’ll finish the cost optimization part. So, we were 150 million, we exceeded that. I think we are well on our way of, you know, doing similar numbers this year, well above 150. But like I said, a lot of this then gets compensated by price and, you know, wage hikes, et cetera, so it's not that all this money flows into the bank.
Diviya Nagarajan: Fair enough. And, Salil, back to the digital growth numbers that you've seen a fairly steady 25% kind of growth number on the digital side. Given that there's definitely a scenario where we're looking at possible acceleration in digital spends overall, how would you see the scope for this number accelerating in the next, you know, 12, 24 months?
Salil Parekh: Today, you know, I think we add – if you look in the previous financial year, numbers – our growth numbers are around [30, 35]. In one of the quarters before that, even higher. But there are two factors, one, our size of the digital [indiscernible] quite large, it’s pretty close to half our company today. That’s a big – practically over $6 billion business growing at 25%, which is quite remarkable. So that has its own sets of constraints, especially in services type of companies. And secondly, the underlying secular trend, which – I mean today as we were discussing earlier, the cloud part of digital is on a terrific growth in terms of the market in terms of what clients are doing in terms of what the large partners of ours are doing. And then, there are other areas, for example, on data, on experience, which are in good traction. So, we, you know, will obviously try to drive that faster still, but we also have a large size, so we have to find a way to keep it at this level as well.
Diviya Nagarajan: Sorry, if I might just sneak in one last question, you did talk about how legacy is likely to kind of be taken out, the core gets modernized and therefore that trend of negative momentum that they've seen could continue. But we have seen, in the last two quarters, the pace of core decline accelerate. Do you expect that will kind of stabilize and go back to where it was pre-COVID as customers start to stabilize? 
Pravin Rao: Hi…
Salil Parekh: On that – go ahead Pravin.
Pravin Rao: Okay, I can take a shorter dip, Salil, you can add. My one sense is, I think, given the nature of the pandemic and how clients are reacting to it, you will see a lot more of spend on technology and clients also realize that for them to implement and take advantage of technology, their legacy has to be modern. It has to be agile. Otherwise, it's very tough to get the benefit and even to drive any innovations in their own organization. So at least I do expect the pace of modernization of legacy to continue much more aggressively than what we have seen in the past.
Diviya Nagarajan: Thanks. That's very helpful. I wish you all the best for the rest of the year.
Pravin Rao: Thanks.
Salil Parekh: Thank you.
Operator: Thank you. The next question is from the line of Ankur Rudra from JP Morgan. Please go ahead.
Ankur Rudra: Thank you and congratulations. Indeed an exceptional performance all around. Just the first question, Salil, you know, very strong performance both on revenues and deal wins. If you could just unpack this a bit more, how much of this is a reflection of the overall demand environment versus your ability to gain share in the new state of play and what's helping you do that?
Salil Parekh: Thanks, Ankur. The way we see it is – we’ve had year-on-year growth. Some of our last years have had year-over-year declines. We definitely see market share gain going on in that play. Part of it, I think is, some of the strategic choices we made and investments we made over the past several years, for example, scaling up digital, working very focused way on looking at large deals, looking at what we're doing that Pravin was describing earlier on localization, an extreme focus on re-skilling that we’ve put into place, and our own internal digital infrastructure, which has helped us. We are completely digital from the inside and also has helped us to scale the work-from-home very rapidly in this COVID landscape, which has given increased trust to our clients. Part of it is that – part of it, I think, has been with the demand environment itself in a good shape, specifically for these sorts of activities where the investments have come. And, of course, there's a lot of it in our business, as you know well, is the steady execution, a continuous sort of traction to that. So, I think those are the combination of things which are sustaining us so far and hopefully, we keep at the execution and that sustains further.
Ankur Rudra: Just as a follow up to that, you know, I think this was asked before, but maybe you can unpack this a bit more, your implied guidance for the second half, it appears to be slightly at odds to the strength we've seen so far in the first half the current momentum of the deals won. Is this due to some planned offshore shift or conservatism on the outlook based on something you're seeing out there and building in?
Salil Parekh: Today, I think one person's conservatism is one other person's aggression. We see a very good guidance increase on revenue and there is the [follow] effect in Q3 as you know, Ankur. And in Q4, typically, Infosys historically – we've had a fairly muted quarter. We don't see any – there are no specific constraints from which we model it. We genuinely modeled it from a view of what we’ve seen as a past view of the business plus the current deals that we have closed and the pipeline that we’re seeing and we’re seeing good traction all around as we've described, and it's a big change, zero to two to two to three. We've moved the bottom by two points, so it's quite a big change in terms of revenue growth guidance.
Ankur Rudra: Understand. And just lastly, you know, the pandemic is clearly giving you significant margin tailwind? Is it time to think about this strategically? Will you, for example, think about this to enter market space in situations that you otherwise wouldn't participate to try and expand your addressable market if this tailwind sustains?
Salil Parekh: I mean [indiscernible] specifically which addressable market you’re thinking, I think the general answer would be yes. But there are markets which we would love to be in. However, what we see today is the ones we have defined have got a nice traction in them and we can deepen our presence in those quite well. And given our operating model, we can build a good business in them at our margin structure for the future. But yes, I think generically, we would look at other markets as well.
Ankur Rudra: Understand. Thank you. Understood.
Salil Parekh: Thanks.
Operator: Thank you. The next question is from the line of Pankaj Kapoor from CLSA. Please go ahead.
Pankaj Kapoor: Yes. Hi, thanks for the opportunity. Salil, just a clarification, did I heard you right when you said that the vendor consolidation is still something that you are in talks with the clients and we haven't yet seen any major deal or relationship convergence so far, is that the right way to understand that?
Pravin Rao: The – on vendor consolidation, there is discussion. It’s in our pipeline. We've seen a few small things moving. My sense is that those things will play out over multiple quarters because this is a business which has an inherent stickiness, but there have been big change in perceptions in this COVID time in work from home, delivery, quality, impact, stability of company and so on. So, my sense is, many of those will play out over time, but we have seen some early benefit of it, but not a material benefit.
Pankaj Kapoor: Understood. And second, what kind of macro environment are you building in your guidance given that the band also is now reduced? So have you factored in any potential second wave of pandemic coming in the end-user market? Or you think that this is something which could be over and above to what your estimates are?
Salil Parekh: Today, we have considered a scenario which is based on how we've seen the trajectory move in the global economy in Q1 and Q2. If we see something dramatic in terms of second wave in terms of COVID, that is not something that we have put it into a model. We don't anticipate it. Of course, it's a possibility. No one quite knows what that scenarios could be. But we generally modeled it on how we've seen this Q1 and Q2 evolve and that's how we look to the next couple of quarters for this financial year.
Pankaj Kapoor: Understood. And on the order book, if I take the Vanguard being out of the order book operation look like in terms of – is it dominated by smaller size [indiscernible] Vanguard also that are fairly large deals dominating it?
Salil Parekh: We’re not decoupling a large deals number as you know. What I can say is within – generally speaking, within large deals wins in the last few quarters plus the pipeline, we have addition size of mega deals. You know they're honestly loads of them, but there's a decent number of them and there's a decent number of other sizes as well.
Pankaj Kapoor: Okay, got it. And is it possible to understand how the [indiscernible] renewal ratio would be if we exclude Vanguard? Will that be very similar to our historical run rate?
Salil Parekh: I think the way to look at it, as Pravin was sharing earlier is, if you look, let's say, 12 months ago or 24 months ago, the net new number – percent number, we see is good in this quarter for sure. But in general, in the pipeline, it seems to be a little bit higher than that percentage, is the way Pravin described it. So, instead of sort of decoupling the Q2 number that would be the way to look at it as we look ahead.
Pankaj Kapoor: Understood. Thank you and wish you all the best.
Salil Parekh: Thanks.
Operator: Thank you. Ladies and gentlemen, that was the last question for today. I now hand the conference over to the management for closing comments.
Salil Parekh: Thank you. Thank you, everyone for joining this session. We're really excited with the way this quarter has played out. Our commitment of our employees has been incredible and has been the most critical element in serving our clients. And you can see from our actions that we will make sure we address that absolutely fully. And we're delighted with the growth we've seen overall, I mean digital and with the margin profile of our business and that's really given us the confidence to increase both the revenue and the margin guidance. Thank you all for joining in the call. Take care, stay safe.
Operator: Thank you very much members of the management. Ladies and gentlemen, on behalf of Infosys that concludes this conference call. Thank you for joining us. You may now disconnect your line.